Operator: Good afternoon and welcome to the Co-Diagnostics Q3 2021 Earnings Call. All participants will be in listen-only mode. When do you need assistance please . After today's presentation, there will be an opportunity to ask questions. To ask your question, . To withdraw your question, . Please note this event is being recorded. I'll now like to turn the conference over to Andrew Benson, Head of Investor Relations. Please go ahead.
Andrew Benson: Thank you, Grant. I am Andrew Benson and joining me this afternoon, are members of the Co-Diagnostics management team, including Dwight Egan, Chief Executive Officer, and Brian Brown, Chief Financial Officer. We will begin the call with management's prepared remarks and then open up the call to questions from our analysts. Before we begin, we would like to inform the listeners that certain statements made by Co-Diagnostics during the course of this call may constitute forward-looking statements. Any statement about Company expectations, beliefs, plans, objectives, assumptions, or future events, performance are forward-looking statements.  For example, statements concerning 2021 financial and operational guidance, the development, regulatory clearance, commercialization, and features of new products, plans and objectives of management and market trends are all forward-looking statements. The Company believes these statements are based on reasonable assumptions. However, these statements are not guarantees of performance and involve known and unknown risks and uncertainties that may cause the actual results to be materially different from any future results expressed or implied by such statements. Important factors which could cause actual results to differ materially from those in these forward-looking statements are detailed in Co-Diagnostics filings with the SEC.  Co-Diagnostics assumes no obligation and expressly disclaims any duty to update any forward-looking statements to reflect events or circumstances occurring after this call or to reflect the occurrence of unanticipated events. In addition, the Company may discuss certain non-GAAP financial measures in today's call. These non-GAAP financial measures should not be considered a replacement for and should be read together with GAAP results. We refer you to the Company's earnings release out shortly before this call, which may contain reconciliations to non-GAAP financial measures presented to the most comparable GAAP results. At this time, I would like to turn the call over to Co-Diagnostics Chief Executive Officer Dwight Egan, Dwight?
Dwight Egan: Thank you, Andrew. And thank you, all, for joining us. On this call, we will provide an overview of our results for the quarter, updates on key financial performance metrics. And a discussion of progress against our strategy. Then we will take your questions. This quarter saw Co-Diagnostics achieved record sales was strong gross margins and we're proud that we've been able to deliver on our predictions and exceed expectations while providing valuable products in the ongoing battle with SARS - CoV -2. We believe our international growth along with our clean balance sheet and strong cash accumulation are positioning us to become a leading global molecular diagnostics Company. And at the sales momentum we have been experiencing over the last 7 quarters, continues to demonstrate demand for our products. We have stated before that we agree with experts who believe that COVID-19 will likely involve infection followed by potential subsequent re-infection, and the vaccination would likely need to be followed by revaccination, similar to pattern seen with the flu. For example, researchers with the Public Health Institute, the University of Texas School of Public Health, and the Veterans Affairs Medical Center recently performed a study published in the journal Science. The research showed that the effectiveness of the vaccines from Moderna, Pfizer, and Johnson & Johnson to prevent COVID-19 dropped to 58%, 43.3%, and 13.1% respectively from March to September. The study also indicated that the vaccines protection against death decreased after 6 months, especially among older people. As COVID-19 continues to spread, the virus has more opportunities to mutate, potentially resulting in mutation characteristics that increase it spread, particularly as it relates to finding natural and vaccine and these induced immunity. The appearance of new variants may require a coordinated public health initiative for many years to come to fight against COVID-19 and its potential new variants. The Company has also asserted that in order to normalize society, that is to go back to school, to go back to work, to travel, etc. Regular testing with reliable protocols will need to be done. The Company agrees with Dr. Scott Gottlieb, who said on Face the Nation, the other things school should be doing is operationalizing testing on a regular basis. We believe that operationalizing testing on a regular basis will be required wherever we intend to normalize and create safe schools, safe workplaces, restaurants, hotels, ships, entertainment venues, and so forth. A probable scenario that there will be vaccinated and unvaccinated individuals returning to the office, increasing the spread of COVID-19. In January 2021, the Biden Administration issued a national strategy for the COVID-19 response and pandemic preparedness plan which stated, to control the COVID-19 pandemic and safely reopen schools and businesses, America must have widespread testing. Accordingly, Biden established a $50 billion plan for increased COVID-19 testing, of which $10 billion is allocated to schools in an effort to reopen. Just yesterday, the U.S. Department of Health and Human Services announced that as at-home testing increases, the need for follow-up testing in healthcare settings will likely grow. For example, if someone buys an over-the-counter rapid antigen test at their local pharmacy to take at-home and test positive, they may seek an -- a healthcare provider who will conduct another test to confirm that result. Accordingly, as part of the Biden - Harris administration's ongoing commitment to increasing access to COVID-19 testing for Americans, HHS will invest $650 million from the American Rescue Plan to strengthen manufacturing capacity for quick, high-quality diagnostic testing through rapid point-of-care molecular tests and increase America's access to them. The Company believes that a combination of testing, vaccination, and therapeutics will be required to address COVID-19. We applaud the emergence of therapeutics on the market which go hand-in-glove with accurate diagnostics before they can be prescribed by a physician. As COVID-19 becomes endemic in our worldwide society, testing is likely to become an ongoing part of normal life. Co-Diagnostics was able to achieve record sales in Q3 in large part to the strength of our international partnerships and our business model that involves sales to a large cross-section of customers. This demand as well as continued sales in the US as fueled by the rise of the Delta and other variance have allowed us to recently achieved record sales of our COVID related products, including the ABC test for flu, A, B and COVID, and our COVID-19 to multiplex test. The former gain clearance to be sold in Mexico in September. Then last week we announced that the latter test has been approved in the United Kingdom, both of which have been more recently been followed by the approval of our original COVID-19 assay and Paraguay, and our direct saliva test being approved in Guatemala. Our original COVID-19 test kit also received regulatory clearance by Anvisa in In Brazil in Q3, all of which illustrate our international presence and success of this model. Importantly, those overseas relationships are now also driving sales not just for our suite of COVID -related offerings, but for our other diagnostic products as well, opening up opportunities for our existing and planned products built on our patented CoPrimer platform to an even larger market. We are already seeing this take place as our Zika, Dengue, Chikungunya test, for example, is registered in several countries. This uptake of Co-Diagnostics products is a driving factor in our emphasis on new infectious disease products development, expanding our product offerings to better serve our important and profitable centralized laboratory segment. CoSara, our joint center in India recently announced its Saragene Dengue and Chikungunya multiplex RT - PCR tests as an in vitro diagnostic. This CDSCO approved marks the tenth assay manufactured and sold by CoSara to receive clearance from the CDSCO and follows the recent clearance of standalone Dengue and Chikungunya assays last month. In addition to those Dengue and Chikungunya assays and the new multiplex test. CoSara has previously received CDS sale clearance for real-time PCR test for tuberculosis, Malaria, hepatitis B, Hepatitis C, human papillomavirus in 2 COVID-19 assays, all designed using the Company's patent at co-primary technology and clear to be manufactured and sold as IVD in the Indian market. In the infectious disease vertical, the Company pursues 2 business segments. The first business segment comprises our centralized lab customers, of which there have been many hundreds in domestic and foreign markets. This is what currently drive strong sales in the Company and a large focus of our R&D efforts as we grow that product pipeline and we continue to expand our worldwide network of capable distributors and participating labs in over 50 countries. Among the future product offerings that are actively in development include a Multiplex SDI panel to detect and differentiate between our 4 prevalent causes of sexually transmitted infections for which analytical performance testing is currently underway, and in collaboration with clinical partners. A Malaria test designed to differentiate between the different species of the parasite known to be resistant to treatment, and an expansion of our Logix Smart ABC test to include Respiratory Syncytial virus or RSV. The development of these tests for our centralized laboratory customers is taking place in tandem with versions that would work in at-home point-of-care settings. This market represents the second segment of the Company's infectious disease vertical, which is being targeted by our forthcoming Eikon platform. The Eikon development continues at a rapid pace with preclinical studies and optimization is in progress to prepare for FDA EUA submission. We believe that the addressable market for at-home and point-of-care diagnostic applications is considerable, and we are optimistic about the potential impact our new platform will have throughout the world. Not just for COVID, but for many other diseases as well. The system is designed to be easy-to-use and expensive and fast while maintaining the superior performance of PCR. The result is a low-cost, small footprint platform that can be deployed widely in nearly every settings, comprised of a reusable instrument, a single-use test kit, and a mobile app. Operation is simple and accessible. After introducing an oral rinse or swab sample in to the test cup is capped and inserted into the instrument. Results are delivered by -- via a mobile app. Sample preparation, RNA, DNA amplification results, interpretation and reporting, are automatically performed by the system. The system is capable of addressing other testing needs in the future, including the expansion to a variety of multiplex assays. During our last quarterly call, I remark that the Company has been vigorously pursuing the Eikon development. And we're very aware of competitive offerings seeking to attract the same fast market that we envisioned. Co-Diagnostics believes this versatile platform will exceed the overall capabilities of competitive offerings. Checking all the boxes of being a low cost, fully integrated, sample-to-answer molecular diagnostic system designed to meet all the 3 criteria of cheap, fast, and accurate testing. But Eikon also includes certain key differentiators compared to other less robust at-home or point-of-care systems. Eikon test results are PCR gold-standard results compared to less accurate antigen test results. Moreover, going forward, the Eikon. Just and will facilitate significant multiplexing results compared to other non PCR technologies that while molecular do not provide the same multiplexing opportunities. Many diseases present with similar symptoms. Syndromic panel Eikon testing or testing of several infections with one patient sample with a single test, such as flu A, flu B, RSV and COVID, will provide robust testing with multi - analyte differentiation as compared to non PCR-based testing protocols from our competitors. In our last call, I also indicated that we anticipated being able to provide updates on the validation and timeline for submission for an emergency use authorization with the FDA for the device and the initial tests by the next earnings call. Accordingly, I'm pleased to announce that a significant user factor study is currently underway, which will be followed by a clinical trial which we expect will commence in December. After conclusion of the clinical trial, FDA, EUA, CE marking, and EAU, and CDSEO clearance submissions will be completed as soon as possible. The key to getting it right with the Eikon platform is not just for the short term, it is rather a long-term strategy that enables the Company to play a significant potential role in syndromic panel testing, covering a large number of ongoing pernicious infections, all with the primary speed and cost benefits of an antigen test, while also delivering gold standard PCR multiplexing compared to non-PC R molecular tests. And PCR accuracy as opposed to less accurate antigen-based tests. We believe the overall value proposition of this product has the potential to leap drug over Diagnostic Systems currently in place, as well as open up the at-home and point-of-care markets with a better product than those developed using less robust technologies. From the creation of the co-primary technology to the engineering of this device, to the human factor studies and focus groups to the regulatory team. This product development represents a high level of innovation, expertise, and skill sets, which together for attend to successful future for the product and the Company as a whole. Immediately upon receiving regulatory authorization, the Company expects to conduct sells campaigns to a vast number of potential clients, which include outreach to the public sector, including schools and college campuses, enterprise sales, including airlines, theme parks, cruise ships, restaurants, entertainment venues. Healthcare sector sales, including doctors since dental offices. and of course, the residential or individual consumer sector. The Company infrastructure is currently being enhanced to address our product launch. The Company strategy goes way beyond COVID-19 to addressing many infections that were here before COVID. and that like COVID will continue to require diagnostic testing along into the future. At its core, the strategy for the Company includes utilizing the conditions brought about by the pandemic and leveraging those conditions into a bright future for Co-Diagnostics, including a potentially explosive at-home and point-of-care diagnostic market. In addition, as a platform technology Company, Co-Diagnostics and our CoPrimer platform as applications extending far beyond COVID and infectious diseases. These include liquid biopsy for cancer detection, the development of which is ramping up as we position the Company to take part in this historic and challenging development in human health care. The exquisite specificity of cope progress has been shown to have excellent capabilities in the detection of cancer mutations present in human blood, and a panel is being developed that detect 6 of the most common single nucleotide mutations of the EGFR gene associated with non-small cell lung cancer. This panel is undergoing performance verification with clinical samples. Negotiations are in process with clinical partners for further development and clinical evaluation. Other assays are being developed for several pathogens have significance in dentistry, mental health, and veterinary medicine. Analytical performance is being evaluated for these assays with partnerships in each of these areas. Progress in our agricultural vertical also continues, including our work with Bayer Crop Services and LGC. The Company is under contract with Bayer pursuant to an ongoing proof-of-concept project using our pending NGS library prep technology. Overall, we believe that our strong profits are positioning Co-Diagnostics well for these and other future growth initiatives as significant investments in talent, and R&D continued to yield positive results. The Eikon platform has been designed from the beginning with the ability to operationalize testing on a regular basis in at-home and point of care settings. It is the optimal solution, not only for COVID, but for other infectious diseases that will be added to our testing menu over time. It is inexpensive, fast, accurate with gold standard PCR results, and capable of multiplex syndromic testing going forward. We believe that our history of remaining ahead of the curve since the onset of the pandemic will continue to drive this trajectory of growth. This concludes my initial remarks. Let me now turn things over to Brian Brown for a review of the key metrics and numbers. Brian.
Brian Brown: Thanks Dwight. Our third quarter revenue marked another record milestone for the Company, totaling $30.1 million for the quarter. This represents an increase of $8.3 million or 38% from the prior-year period. The increase is primarily due to the continued strong sales growth of the logic Smart COVID-19 test. Gross profit for the quarter totaled $26.8 million, an increase by $10.8 million or 67.5% from the third quarter of 2020 a reflection of the ongoing COVID-19 pandemic. Our gross margin percentage of 89% for the quarter increased from 73.3% in the third quarter of 2020, reflecting continued improvement in our manufacturing processes and a shift in our product mix as compared to the prior-year period. Year-to-date revenue grew to $77.5 million, an increase of $30.1 million or 63.4% year-to-date gross profit ended the quarter at $68.4 million up $33.3 million, an increase of 94.7% from the prior-year period. Year-to-date gross margin percentage of 88.3% increased from 74.1% in the comparable period -- prior-year period. Total operating expenses for the quarter were $13.2 million up from $4.0 million from the third quarter last year. The higher operating expenses were driven by expected increases in both sales and marketing costs, and our research and development expenses. Sales and marketing expenses for the third quarter increased by $3.5 million compared to the third quarter of 2020. Primarily a result of higher third-party commissions on higher international sales. Our research and development expenses were up by $5.0 million compared to the third quarter of 2020, primarily related to planned expenditures of $4.4 million for our at-home and point-of-care device. Total operating expenses for the 9 months ended September 30th, 2021 were $32.6 million, up from $9.5 million for the first 9 months of 2020. The increase in expenses reflects the same sales and marketing and R&D expense increases identified for the third quarter. Third quarter income from operations was $13.6 million, up from $12 million for the third quarter of 2020. Primarily a result of increased sales and gross per -- in gross margin offset by increased operating expenses, as earlier described. Year-to-date income from operations was up 39.3% to $35.8 million, representing an increase of $10.1 million for -- from the same period in 2020. Income before income taxes in the third quarter was $13.6 million compared to $12.8 million in the prior year comparative quarter. And for the nine months ended September 30th, 2021, income before income taxes was $35.4 million up from $26.8 million for the 9-month period of 2020. Income tax expense for the third quarter was $2.1 million reflecting an effective tax rate of 15.5%, and for the 9-month period, income tax expense totaled $6.2 million, representing an effective tax rate of 17.6%. Our effective tax rate will generally differ from the U.S. federal statutory rate of 21% due to state taxes, permanent items, and discrete items. For both the 3 and 9 months ended September 30th, 2020, we recorded a benefit from income taxes resulting from releasing our valuation allowance due to current and future positive pretax income results. Third quarter net income was $11.5 million or $0.38 per fully diluted share compared to a net Income of $15.7 million or $0.53 per fully diluted share in the prior-year quarter. The decrease in net income was a result of increased income tax expense as compared to Q3 of 2020. Our balance sheet has remained strong through the end of the third quarter with cash, cash equivalents and marketable securities totaling $83.9 million at September 30th, 2021, an increase of $36.6 million from December 31st, 2020 and up $11.5 million from the second quarter of 2021. With a highly liquid no debt Balance Sheet, we remain solidly positioned to continue executing on our strategic growth plan by investing in our people, processes and research in development to drive future growth. As we discussed during our previous earnings calls this year, we plan for increased sales and marketing and R&D expenses in the third quarter of 2021, and we were still able to significantly grow our cash balance, reflecting our strong debt-free position. Now turning to cash flows. Net cash provided by operating activities during the 9 months ended September 30th, 2021, was $36.2 million compared to operating cash flows of $8.2 million for the prior-year period. This significant increase in cash flow from operations was primarily due to continued process improvement, and our strong revenue growth, reflecting the hard work of our people. Our team's efforts continued the strong momentum from the first half of 2021 and we are very pleased with the solid results we anticipate achieving for the year. Turning now to our guidance. We expect full-year revenue in the range of $96 million and $100 million, reflecting continued strong domestic and international demand for our products. We also anticipate full-year diluted earnings per share in a range of $1.07 to $1.16, which includes the effect of continued R&D spending on our new diagnostics platform and investments in our people and processes. Additionally, included in the earnings per share guidance, is an expectation of an effective local state and federal tax rate of 18% compared to an immaterial amount of tax expense for the full year of 2020. We are very pleased with our strong financial position, which enables us to invest in significant growth opportunities, such as the Eikon platform. We will continue to build upon our solid business foundation and are in a strong position to continue progressing the Company forward. With that, I'll now turn the presentation back over to Dwight.
Dwight Egan: Thank you, Brian. That concludes our prepared remarks. Operator, we are ready to begin the question-and-answer portion of the call.
Operator: We will now begin the question-and-answer session. To ask your question . If you're using a speaker phone, please take of handset before pressing the keys. To withdraw your question, please . At this time, we will pause momentarily to assemble our roster. Our first question today comes from Yi Chen with H.C. Wainwright, please go ahead.
Yi Chen: Thank you for taking my questions. Firstly, could you please provide some color? What percentage of the revenue was generated in the U.S. during the third quarter?
Brian Brown: Yes, we can provide that for you. So in the third quarter, just 1 second let me grab my paper, there it is. In the third quarter, revenue internationally was approximately 44% and in the U.S. it was about 56%, which for the year-to-date, you end up year-to-date, 55% international, and 45% domestic, which is very consistent with what we said at the beginning of the year in our call.
Yi Chen: Got it. Thank you. And based on your annual guidance for 2021, It appears that the -- for the fourth quarter you project something slightly up 20 something million for the fourth quarter, which is meaningfully lower than the third quarter's 30 million. So can you comment on the trend on the top-line revenue growth going forward?
Dwight Egan: Thank you, Yi, for that question. We have been involved in the COVID-19 test supply business for -- since the beginning of the entire pandemic. And so we've seen the ebbs and flows of the COVID-19 virus as it goes in what is typically been called waves, which are driven by different things such as the Delta variant and such. And so you're somewhat at the mercy of what's going on in the context of the waves of any particular COVID status. What we have also maintained through the period, is that COVID isn't going away, and that like Dr. Michael Osterhom opined early on, COVID is going to be with us until the end of time. So we do expect to see ebbs and flows, and peaks and valleys in terms of the ongoing demand for COVID, and as the country seeks to operationalize, and we get schools and businesses trying to reopen. We think there will be a constant demand for COVID at one level or the other. Our goal as a Company, and we started this a year ago, May, was to look into the future and create a product which of course is the Eikon platform, which intends to address the operationalizing needs of the world with an elegant system that is fast, that is accurate and inexpensive. And so we began that project well over a year-and-a-half ago and are getting to the final lapse of being able to introduce that product. So we think that we have a very good operational runway into the product introduction there, at which time we think we're going to be able to take advantage of the operationalizing of the testing going forward in all the different at-home and point-of-care environments. So we don't want to be too aggressive and trying to predict how the waves of COVID will impact us. In the U.S. and abroad, and there are definitely hotspots here and there. What I can say about the United States is it seems to be plateauing at a very uncomfortable level with almost 1200 deaths daily still happening in the United States. So it's hard to predict, and that is reflected in our cautious guidance, but we believe that COVID is going to remain very needed testing an environment for the foreseeable future, and by that we mean for the years to come, and which is why we have developed a product to address that at the at-home and point-of-care environment. We also look forward to with our Eikon platform of being able to provide test through far beyond the COVID. As you know, either many diseases that make COVID pale in comparison in terms of the number of people infected around the globe. And we expect to be able to also address those with a -- our new Eikon platform, which is a really elegant optimal solution.
Yi Chen: Got it. Thank you.
Operator: Our next question comes from Jason McCarthy with Maxim Group. Please go ahead.
Unidentified Speaker: Okay. This is Nathan(ph) on for Jason and thanks for taking our call congrats on the quarter by the way, with new data from Pfizer is suggesting and effective treatment for COVID-19 using an oral antiviral. Do you think this suggests from market kit eventually move towards symptomatic testing so much to the flu, in addition, how big do you think that market potential is and will leaving the players that who do you think the players are that can compete in that market and we're Roku codecs play and our market Co-Diagnostics.
Dwight Egan: When we talk about our first impression with respect to an anti-viral therapeutic, which as I mentioned in my remarks, we applaud the introduction of that. In many ways, I wonder why it took so long to bring about. But this is something that anybody can see is going to require a diagnosis before somebody is going to get that particular treatment. And I would urge the listeners on the call to also do your own research about what the projected cost of that therapy is. It's an expensive therapy. It's not something that's going to be prescribed cavalierly. And it's going -- but it is going to drive additional testing, because you're going to have to test to get the therapeutic. And it's -- as you know, things like the flu, which infects -- you can read statistics going from 5% to 20% of the worldwide population, we think of it as being 8% to 9% of the worldwide population that get the flu, which is one of the reasons why we concentrated on our upper respiratory ABC Test. And going forward, we've indicated that we'll be adding RSV to that. That same panel, what we referred to as a syndromic panel because we're testing for more than one disease state with the same sample in the same test run. So we think that the upper respiratory area has been very much where most of the legacy players that have done syndromic testing, have been focused. The upper respiratory panel is one of their main sellers. So we're very anxious to get in that fray, and be able to provide an upper respiratory syndromic panel for a number of key infections, and at a cost structure, both in terms of the instrument, and the individual tests, that will just be a fraction of the cost that providers are currently having to spend for it. Now, as to who else is in the therapeutic business for antivirals, I'm not the expert to talk to about that. So I'll leave it to your own due diligence on that, but we are very enthused to see a therapeutic arrived. We think it will drive additional. Testing and we look forward to making the testing that we're doing here in the United States. So well, we look forward to making it available in so many other parts of the world like India, we have now put under our business Umbrella about. 200 laboratories in India alone. They only have about 1200 NABA laboratories. That's basically their equivalent to our CLIA lab. And they only have about 1200 of those in the entire country, of which 200 are currently clients of ours. So you can imagine when we go into that country with a box that cost $300 that will do molecular testing on a syndromic basis for Flu A, Flu B, COVID, RSV, these are the -- we're going to be able to put a lot of other laboratories in that country of which there are tens of thousands of labs into the molecular business, by virtue of the product they're going to be taking in there. We think it's potentially very explosive.
Unidentified Analyst: Thanks for taking my question, and once again, congrats on the quarter.
Dwight Egan: Thank you.
Operator: Our next question comes from Theodore O'Neill with Litchfield Hills Research. Please go ahead.
Theodore O'Neill : Thank you and congratulations on the quarter. 2 questions about the Eikon products. The first one is, how are you dealing with what everyone else is seeing as supply chain issues as you design the product? And the second question is, is that product going to have also applications in the agricultural or a livestock environment market?
Dwight Egan: Yes. Thank you. And how are you Theo? I will just thank you for joining the call. Our -- we're obviously very enthused about everything that has to do with Eikon. It's a platform that will handle any -- basically any RNA DNA product that we want to interrogate. So it's -- you were targeting right now, dealing with samples primarily involved with saliva, and we've done a tremendous amount of innovative work with direct saliva that is extraction free, its lyophilized, or freeze-dried, and all those kinds of technology have been brought to bare in the Eikon chemistry. So we're very enthused about all the different markets that we're going to be able to address in that regard, including as we mentioned, things like dental. There are some -- there is a large market out there for dentists who are testing people for diseases that like periodontal disease, where if you have the wrong kind of periodontal disease. Where you have mutation, not mutations but targets and that are of a particular type, it contributes or at least they think contributes significantly to the development of dementia and Alzheimer's. So there are -- there some very interesting tests that are being developed in our laboratory with people and partners that are involved in places like dentistry and veterinary and other areas that are going to address a whole lot of different disease states. So, and of course, when you're dealing with corn and wheat and soybeans, the Eikon could also play a very important role in being able to let that kind of testing going on with trucks that are coming in with soybeans that need to be tested on-site before a delivery is taken and accepted by somebody like Monsanto or Bayer for example, who -- a need to know whether the soybeans they 're buying were actually grown with their seeds and have the right kind of genetic content. I think it has a -- I don't think -- I know it has a wide opportunity for a lot of different places where we're going to be here introducing it. Now at that said, keep in mind, Theo, that there are certain things that we can be involved in that require the FDA process to clear it and not everything is under Emergency Use Authorization window. So certain diseases will have to go through full 510-K Clearance. And so those things will be rolled out measurably. But in other areas where it doesn't require FDA clearance, and that includes certain areas of agriculture. Our whole mosquito vector business does not require the involvement of the FDA in terms of clearing those products. We're testing for things like West Nile virus and Eastern equine encephalitis and Zika and Dengue and such. In the mosquito population. But it's not into the purview of the FDA. So we don't have the same kind of regulatory hurdles to overcome. And also keep in mind that, the Eikon product has some real great potential in the area of looking at a whole population of, like, grade school students, where we're doing a test ing of, say, 5 people at a time. It's what is referred to technically as surveillance testing, where you're not testing a discrete individual. And when you do that, that also does not fall inside the purview of the FDA. And so there are things like surveillance testing in schools and in workplaces that may also become part of our forward-going offering. And when I talk about the FDA, we think the FDA, and the CEC and others, have done an excellent job at pivoting and adapting during this entire process of dealing with COVID. So our head is really off to them, and we'd give our whole approach to the FDA and others in the context of full compliance. So I don't mean to call out products that are not requiring FDA clearance as a remark about FDA clearance per se, we pursue it at, from a fully compliance oriented perspective. But there are things that will involve the Eikon going forward that will be outside of their purview.
Theodore O'Neill : And what about design issues, so that you don't run into problems with supply chain that other manufacturers are seeing?
Dwight Egan: Yeah. That was the other part of your question. And we just haven't -- we haven't been able to at this point determine that there are any supply chain issues with our Eikon. I'm pleased to say at this point our manufacturing is going to be done here in the United States, and we have -- as I mentioned on the call, we have currently a rather large user factor study going on in the United States and with several Eikon units that are being used in that particular study. And shortly we'll be commencing our clinical trial. So we don't foresee having a problem with supply chain issues and one of the reasons for that Theo is that much of what's going on with Eikon is in the cloud. The sample is taken on a local basis, right from the patient, the saliva, the nasal swab for example. But once that is put into the little box, the box completes the -- a palm raise chain reaction? with some very, very cool technology that was engineered by some of the best experts in the world and then the test is actually called in the cloud. And the results of the test and delivered to the smartphone patients. So it's a very -- you need to understand that so much of the intelligence of what goes on with Icon is cloud-based. And that also opens up a whole bunch of other data issues, with respect to potentially be involved with electronic medical records and electronic prescription, ERX as it would be called. So there's a lot of things going on with the development of the Eikon platform besides the box and the cell phone, but no supplying chain issues at the moment.
Theodore O'Neill : Okay. Thanks very much.
Operator: Ladies and gentlemen, this will conclude our question-and-answer session. I'd like to turn the conference back over to Dwight Egan, Chief Executive Officer, for any closing remarks.
Dwight Egan: Well, I'd like to conclude the call by thanking our employees and distributors for their dedication and action and helping to deliver outstanding results this quarter. And given the importance of today's date, I would also like to take a moment to recognize our service men and women for their service and bravery to help build a better future for the rest of us. And those who stand, they stand as an inspiration to us all. And I can tell you because we have such an exposure in the developing world, that people are thrilled to be able to get U.S. based engineered products for diagnostics, that they have access to at a price they can afford and something that makes it relevant in their country. And so we're proud to be Americans. We're proud to show the kind of things that we're able to do, largely courtesy of our men and women who protect our freedoms. So thank you for your interest in our Company and for joining us today for our third quarter call. We look forward to talking with you all again and after the fourth quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.